Operator: Good morning, and welcome to Audacy's First Quarter 2023 Earnings Release Conference Call. [Operator Instructions] This conference is being recorded. I would now like to introduce your first speaker for today's call, Mr. Richard Schmaeling, CFO and Executive Vice President. Sir, you may begin.
Richard Schmaeling: Thanks, Rob. Welcome to Audacy's first quarter earnings conference call. A replay will be available shortly after the conclusion of today's call at the replay link or number noted in our release. During this call, the company may make forward-looking statements, which are based upon the company's current expectations and involve risks and uncertainties. The company's actual results could differ materially from those projected in these forward-looking statements. Additional information concerning factors that could cause actual results to differ materially are described in the Risk Factors section of the company's annual report on Form 10-K. As such, risks and uncertainties updated from time to time in the company's SEC filings. We assume no obligation to update any forward-looking statements, except as may be required by law. During this call, we may reference certain non-GAAP financial measures. We refer you to the Investors page of our website at audacyinc.com for reconciliations of such measures and other pro forma financial information. I'll now turn the call over to David Field, our CEO.
David Field : Thank you, Rich. Welcome all to enter to Audacy's first quarter earnings call. Thanks for joining us today. This morning, in addition to sharing our first quarter results and our second quarter outlook, we will share some additional color on our progress as we continue our work to navigate the storm and drive our recovery. This is, of course, a challenging time for our company as we battle through the difficult ad market headwinds impacting companies all across the media landscape. As a reminder, over the past few years, Audacy achieved scale through our acquisition of CBS Radio, roughly tripling our size and establishing a strong differentiated position with our exclusive premium content, leading positions across the country's largest markets and unrivaled leadership in sports and news radio. In addition, we have been pursuing a broad-based digital and ad tech transformation to capitalize on our scale and establish the company as a true multi-platform audio company through a number of acquisitions, investments and initiatives. As a result, today, we are one of the country's leading podcasters have built an emerging, high-potential innovative audio streaming platform and are working to build competitive ad tech and data capabilities. It is unfortunate, but of course, the unanticipated reality that we have pursued our transformative work in the midst of a global pandemic, sustained supply chain disruption and an extended at recession. This has obviously placed stress on the company's finances exacerbated by the business' high degree of operating leverage. And yet, notwithstanding the financial challenges, the fundamental inherent value proposition of Audacy and our ability to serve listeners and customers remains intact and distinctive, and we continue to play offense, investing in people, platforms, technology, content, capabilities and growth initiatives to better serve listeners and customers and enable a brighter future. First quarter results were impacted by the ongoing challenges across the ad market. Revenues declined 5.7%, in line with our forecasted decline of mid-single digits. Core spot radio revenues were down 9%. Local revenues held up considerably stronger than national, including local digital up 19%. Total digital revenues were down 2%. Excluding podcasting, digital revenues were up 3%, led by a strong quarter for our digital marketing solutions business. Total podcasting revenues were down in the quarter, although podcasting advertising revenues were actually up 14%, excluding the departure of our largest podcast network publishing partner, which moved off of our platform last May. I'm pleased to report that we continue to make solid progress on a number of fronts as our team continues to execute our strategic plans. During the first quarter, we completed the sale of broadcast towers for $17 million. We also expect to close on our $15.5 million sale of 2 radio stations in either second or third quarter and have a number of other real estate sales working their way forward. We also continue to take additional actions to reduce expenses significantly, but while at the same time, making sure that we continue to drive investment in critical transformational growth initiatives and capabilities, Rich will provide further color on all of this in a few moments. We also continue to see significant opportunities for reduced expenses over time as we work to reduce our physical space requirements significantly, capitalize on new technologies and reduce our exposure to select sports and podcast content deals that are meaningfully underwater. Turning to our emerging Audacy streaming platform. We are seeing some organic acceleration in our digital platform usage metrics as listeners discover the innovative enhancements we are making to the listening experience. Net monthly listeners on our digital platform grew by 8% year-over-year. Organic app installations growth accelerated to 59%. Total listening hours to our O&O stations and exclusive content grew by 4% for the quarter, accelerating to 7% in March and 9% in April, led by a surge in TLH to REWIND, our technology enabling on-demand DVR functionality now enhanced with our exclusive chapter content descriptions on the Audacy app. We believe that planned further enhancements to the streaming listening experience through the Audacy app, together with our unique and proprietary content will continue to power our streaming listener growth. Turning to podcasting. We moved our primary podcasting studios under common leadership last month. placing Genal Wise Berman in charge of our podcast content and partnership efforts, including our C13 and Pineapple Street Studios. The move should enable us to drive significant synergies and enhanced business practices that we expect to yield meaningfully higher future profitability. We operate one of the country's largest and most award-winning podcasting businesses with 44 million listeners. Last year, we began to shift our strategic focus to more profitable areas of the business, and we are now starting to realize the benefits of that transition. For example, in the first quarter, we grew the number of listeners to our locally produced podcasts, the most profitable part of our business by 26%. We expanded our partnership work with HBO, adding the Last of Us companion podcast, which was number one on the Apple charts along with our succession companion podcast. We also announced new projects with Amy Poehler, the WNBA and Flea of the Red Hot Chilli Peppers. And we continue to lean into our leadership in sports with our 2,400 sports studio, which we launched last year and is experiencing very rapid growth. I also want to share a couple of thoughts on our developing ad tech. 1.5 years ago, we acquired the audio ad tech business of WideOrbit and rebranded it as AmperWave. Since then, we have been pursuing an aggressive road map to develop our own proprietary tech stack and ad product capabilities. We recognize that we are playing catch-up with some of our leading peers in the audio space and are working hard and at considerable expense to drive this transformation. Like any company launching emerging tech capacity, there have been some bumps along the way, but it is great to see the progress our tech team is making. We expect to deliver a number of important ad products later this year that should enable us to deliver meaningfully higher levels of streaming audio sales performance, tapping into demand pools and data opportunities that we are currently unable to access. This work does commit a cost, but notwithstanding market challenges, we continue to build capacity across our tech and engineering teams as well as our RevOps team. Turning to second quarter pacings. As you have heard from others, ad market conditions remain quite challenging. Local has held steady and actually slightly better than Q1, but there has been no improvement in national conditions, which remain quite weak. We are currently pacing down 7% and expect revenues to decline by mid- to high single digits for the quarter. We do note that our comps will get easier as we continue through the year. We are beginning to see some improvement in our largest ad category automotive. After a modestly positive first quarter, second quarter auto pacings are currently up 13%. And we note that a handful of major national and local customers who have been dark since the start of the pandemic have recently placed business with us. To be clear, the auto business remains way behind pre-pandemic levels, but the signs are at least encouraging. In closing, notwithstanding the market challenges we are enduring, the opportunities to capitalize on our key growth drivers and deliver significantly higher future levels of EBITDA remain intact. We fully recognize that in these uncertain times, it is hard to look beyond current circumstances. But we remain excited about numerous growth opportunities across the company, notably including our various digital businesses, the impact of our enhanced national enterprise sales team and our deepening customer and agency engagement, potentially accelerated audience growth from our streaming audio platform, new pools of ad demand that will be unlocked with the upcoming completion of various ad tech, ad product and data enhancements and planned business model and margin improvements. Furthermore, we note that as economic conditions ultimately normalize, roughly 90% of any future recovery in radio revenues would flow through to EBITDA. We noticed we have before that we can achieve a healthy level of EBITDA recovery at substantially lower levels of radio ad spend than before. Finally, before turning it over to Rich, I want to acknowledge the outstanding team at Audacy and express my deep appreciation for their excellent work and dedication as we continue to execute our plans and drive our business forward through the current economic challenges. Rich?
Richard Schmaeling : Thanks, David, and good morning. Our total net revenues for the first quarter came in at $260 million, down 5.7% year-over-year. Our core spot revenues were down 9% for the first quarter, and local spot continued to be stronger than national. Our digital revenues came in at $57 million in the first quarter and were down 2% year-over-year as both our streaming and podcast revenues weakened sequentially. Our network advertising revenues were down 6% year-over-year, but strengthened later in the quarter and were up 1% in March. Turning to the outlook for our second quarter revenues. We project that our total revenues will be down mid- to upper single digits for the quarter, and this is in comparison to softer prior year comps. As you will recall, we and others experienced a slowdown in advertising demand starting at the end of the first quarter last year as inflation ran and the Fed began tightening interest rates. In the first quarter of last year, our revenues were up 14% year-over-year, and our growth rate slipped to up 5% year-over-year in the second quarter. Moving to our first quarter expense performance. Our cash operating expenses came in at $256 million or up 3% year-over-year, driven largely by an increase in our variable selling expenses tied to our digital marketing solutions product line. The company has continued to work to further reduce its expenses, and we expect that our expenses for the second quarter will be down about 3% year-over-year. And we expect that our expenses over the last 3 quarters of this year will be down by around 4% or by greater than $35 million. Turning to our financial position. Our compliance basis first lien net leverage was 3.8x at the end of March compared to our maintenance covenant of 4x. And our liquidity was $124 million, down $21 million from year-end. Since the first quarter, advertising demand has further softened and we are concerned that it could get worse before it gets better. The company is continuing to work to accelerate revenue growth, develop and execute added cost reduction actions and to sell other noncore assets. However, due to the uncertainty of the advertising outlook, these actions may not be sufficient to fully mitigate the impact of potential further advertising weakness. This outlook increases the risk that we may not be able to sustain compliance with our first-lien maintenance covenant over the next 12 months, and this uncertainty led the company to include a disclosure about its ability to continue as a growing concern in the footnotes to its financial statements in our first quarter 10-Q, which will be filed later today. This assessment is not an event of default under any of the company's set agreements. It doesn't impact our day-to-day operations, and it is merely based on our current projections of our future operating results. Our first-lien maintenance covenant is only for the benefit of our revolving lenders and our relationship banks have historically been willing to amend covenants to provide relief during recessionary periods, but there can be no assurance they would be willing to provide such relief in the future. The company is finalizing its preparation to commence discussions with its lenders to explore refinancing and strategies to manage its liabilities, and we continue to expect to initiate this process before the end of this quarter. As part of this process, we will also seek an amendment of our first-lien maintenance covenant. Beyond these statements, we will not be providing any further details about our plans at this time. With that, Rob, we'll go to questions.
Operator: We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Dan Day with B. Riley Securities
Operator: Our next question is from Craig Huber with Huber Research Partners.
Operator: There are no further questions at this time. I'd like to turn the floor back over to David Field for closing comments.
David Field: Great. Well, thanks again, Rob, and thanks, everybody, for joining us here this morning, and we look forward to our next report. Thanks so much. Bye.
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and we thank you for your participation.